Operator: Hello, and welcome to Universal Logistics Holdings First Quarter 2024 Earnings Conference Call. [Operator Instructions] 
 During the course of this call, management may make forward-looking statements based on their view of the business as seen today. Statements that are forward-looking relate to Universal's business objectives or expectations and can be identified by the use of the words such as belief, expect, anticipate and project. Such statements are subject to risks and uncertainties, and actual results could differ materially from those expectations. 
 As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Tim Phillips, Chief Executive Officer; Mr. Jude Beres, Chief Financial Officer; and Mr. Steven Fitzpatrick, Vice President of Finance and Investor Relations. Thank you. Mr. Phillips, you may now begin. 
Tim Phillips: Thank you, and good morning, everyone. Thank you for joining Universal's 2024 First Quarter Earnings Call. There's a lot to unpack in this quarter but let me start off by thanking our nearly 10,000 team members who worked tirelessly to make Universal the best-in-class transportation and logistics provider we are today. We couldn't do it without your hard work and dedication. 
 I also want to thank our customers for continuously recognizing our efforts and the value we bring to their supply chains. The long-term partnerships we have built with some of the most recognizable brands in the manufacturing space are what would truly differentiate Universal business model in the space. 
 Now for the quarter. Our performance in the first quarter vary greatly dependent on the individual business segment. Our contract logistics segment delivered outsized results, while our intermodal and company-managed brokerage segments continue to fall behind our performance expectations. Trucking was steady as she goes, delivering mid-single-digit margins as our specialized heavy haul business buoyed their results. Q1 was certainly a challenging environment for our transactional transportation business, but overall, I'm extremely pleased with our results. 
 The first quarter 2024, Universal reported $491.9 million of revenue, $1.99 of earnings per share and an operational margin of 13 -- 15.3%. This was the best earnings per share and operating margin for any quarter in Universal's history. 
 In the contract logistics segment, revenues increased 48.4% to $313.5 million. This was largely due to our recent program award that ramps up in Q1 and will be completed by the end of 2024. At the end of Q1 2024, Universal managed 71 value-added programs compared to 65 at the end of Q1 2023. We believe we will continue to see strength in the contract logistics segment for a number of reasons. 
 First, Q2 is typically our strongest quarter for contract logistics. There are fewer shutdown or interruptions to the OEMs' production. Secondly, the auto industry is doing well. The SAAR remains over 15 million and Class 8 production has remained consistent. 
 As the OEMs are under pressure, some are altering or even reevaluating their EV transition plans, while addressing labor cost pressures. The wage inflation we are seeing in the auto sector could lead our customers to seek more outsourcing opportunities, utilizing Universal's lower cost, but high service solutions. We are already beginning to see this. We have several new contract logistics programs launching in the back half of 2024 and the beginning of 2025. 
 Trucking segment revenues decreased 12.6% to $69.7 million. This was due to a 7.1% decrease in load haul while revenue per load, excluding fuel surcharges, also decreased 6.2%. We expect to see a significant uptick later in the year in our specialized truckload business, which has a full book of business for the rest of the year. 
 Flatbed volumes, while still negative year-over-year, are showing some signs of life. With the ISM now in expansive territory, we await better volumes as the year progresses. 
 In the intermodal segment, revenues decreased 30.9% to $76.7 million in the first quarter of 2024. Compared to Q1 2023, our intermodal segment experienced a 14.1% decrease in volume, while line haul rates decreased less than 1%. Additionally, assessorial charges decreased $17.5 million and fuel surcharge revenue decreased $6.4 million. 
 We are excited to see some signs of life on import volumes, although our retail customers continue their strained outlook for the year. Any volume increases are welcome and should help us on the return to profitability in both the West Coast port and inland rail locations. 
 Company-managed brokerage segment revenues decreased 8.7% to $31 million. This was due to a 12.2% decrease in revenue per load, which was partially offset by an 8% increase in revenue per load. Excess capacity continues to be the biggest constraint on price. We took some share back in the quarter, but the brokerage market is super competitive, and we do not expect that to change in the near term. 
 Similar to our industry peers, our transactional transportation business have been experiencing ongoing volume and rate pressures. Pricing remains extremely competitive, as shippers are taking advantage of the current market conditions. 
 On the positive side, we are hearing some optimistic sentiments from our customers regarding the back half of the year. Although we haven't seen the start of the turnaround, we believe we are at the bottom of the cycle. It's hard to imagine drayage and truckload rates going lower than they already are. 
 Universal's transportation foundations remain strong. Our legacy truckload agent business is a compelling solution for both customers and for capacity providers. With the current pressures facing capacity providers, including insurance, compliant and recruiting to name a few, we offer support to the entrepreneurial-minded capacity provider. 
 In recent years, we have also built a nationwide drayage network with a big emphasis on major freight markets. Our network provides shippers a unique one-stop shop that few drayage providers can match. 
 While we have strong foundations, we are not dependent on an upswing in volumes to return the business segment back in the black. We are actively implementing new operational plans for our transportation segments, specifically the intermodal and brokerage segments. We have brought in new leadership and talent with a vast wealth of experience. 
 We are evaluating our processes to identify any possible efficiencies and to control the costs we are able to manage. We remain hyper focused on optimizing the utilization of our assets. And we continue to build out our drayage network with acquisition of two additional properties servicing the Port of Savannah this year. We are bullish on the future of intermodal and our investments show it. 
 As you've seen in recent filings, we have become more agile in Mexico. Global supply chains are changing, and we see many opportunities with the nearshoring trend. We've been in Mexico for a long time and the opportunities that we see are very exciting. 
 Our Mexican franchise continues to grow, and we are actively expanding both the trucking capacity and value-added footprint with new business wins as well as planning for the future opportunities. Nearshoring is real, and we are well positioned to be a key player in the Mexican market in the years to come. 
 M&A is always a part of our strategy. We continuously evaluate acquisition opportunities but remain disciplined. An opportunity cannot be a distraction and must be complement and better our core competencies. Any addition to the portfolio must make us stronger and more competitive in the marketplace. We have seen an uptick in deals coming to the market and are excited that the M&A market is beginning to unthaw, even though interest rates remain elevated. 
 As we look forward to our contract logistics segment, our sales pipeline remains full with opportunities. Value-added and dedicated opportunities alone totaled nearly $1 billion. The robust pipeline allows us to be selective about which programs we choose to take on and make sure they fit our core competencies and desired margin profile. Additionally, we are continuously seeking cross-selling opportunities with our current customers to find more ways to drive value with our diverse service offerings. 
 The auto OEMs are not only customers we service in the contract logistics segments. Aerospace, defense, agriculture, heavy truck, consumer manufacturing e-commerce make up our book, and we continue to see new exciting opportunities with them. 
 As I mentioned, Universal is not immune from the challenges in the transportation. Our strategy of cycle complementary service offerings allows us to weather any storm. And even in this challenging environment, we continue to publish record results. We have consistently found ways to outperform throughout the cycle, led by our diversified portfolio of businesses and our unique contract logistics franchise. 
 I'm confident that through the efforts today, we will be in stronger -- in a stronger position to take advantage of the freight rebound during the next upcycle.
 I'm very proud of our execution and results for the first quarter 2024. Our strategy of offering diverse services while investing in our higher-margin business has been validated by our record EPS and margins despite the freight market weakness. 
 Once again, I would like to extend a thank you to each member of the team Universal for their contributions to a great quarter. I remain optimistic for the future and bullish on the remainder of 2024.
 I will now turn the call over to Jude to provide more color on our financials and expectations for the coming quarter. Jude? 
Jude Beres: Thanks, Tim. Good morning, everyone. Yesterday, Universal Logistics Holdings reported consolidated net income of $52.5 million or $1.99 per share on total operating revenues of $491.9 million in the first quarter of 2024. This compares to net income of $24.9 million or $0.95 per share on total operating revenues of $437.4 million during the same period last year. Consolidated income from operations was $75.1 million for the quarter compared to $38.2 million 1 year earlier. EBITDA increased $40.2 million to $96.9 million, which compares to $56.7 million during the same period last year. Our operating margin and EBITDA margin for the first quarter of 2024 are 15.3% and 19.7% of total operating revenues. These metrics compare to 8.7% and 13%, respectively in the first quarter of 2023. 
 Looking at our segment performance for the first quarter of 2024. In our contract logistics segment, which includes our value-add and dedicated transportation businesses, income from operations increased $53.7 million to $81.5 million on $313.5 million of total operating revenues. This compares to operating income of $27.8 million on $211.3 million of total operating revenue in the first quarter of 2023. Operating margins for the quarter were 26% of total operating revenues compared to 13% 1 year earlier. 
 As previously disclosed, in the first quarter of 2024, we launched a significant new contract logistics development program, which is expected to be substantially complete by January 1, 2025. For the full year 2024, we expect to recognize total operating revenues on the program of approximately $228 million, of which $95.3 million or approximately 42% was recognized in the first quarter of the year. Revenues generated for this program are reported as value-added services revenue and the associated costs in operating supplies and expense. The result of this program are included in our contract logistics segment. 
 Based on its current cadence, we anticipate this program to be approximately 65% to 75% complete by the end of the second quarter, generating additional revenues in the range of $53 million to $75 million during the period. Then, we expect the program revenues to step down to the range of $25 million to $45 million in each of the third and fourth quarters of 2024. Our guidance that I will discuss momentarily reflects the expected impact of this program during the second quarter. 
 On to our intermodal segment. Operating revenues decreased $34.3 million to $76.7 million compared to $111 million in the same period last year. And income from operations decreased $14.9 million to an operating loss of $8 million. This compares to operating income of $6.8 million in the first quarter of 2023. Operating ratios for the quarter were 110.5 versus 93.9 last year. 
 In our trucking segment, operating revenues for the quarter decreased $10.1 million to $69.7 million compared to $79.7 million in the same quarter last year, and income from operations decreased $100,000 to $3.7 million. This compares to operating income of $3.8 million in the first quarter of 2023. Operating margins for the quarter were 5.3% versus 4.8% last year. 
 In our company managed brokerage segment, operating revenues for the quarter decreased $3 million to $31 million compared to $34 million in the same quarter last year, and income from operations decreased $2.1 million to an operating loss of $2.5 million. This compares to an operating loss of $400,000 in the first quarter of 2023. Our company-managed brokerage segment reported an operating ratio of 1.08 versus 101.1 last year. 
 On to our balance sheet. We held cash and cash equivalents totaling $11.1 million and $11.8 million of marketable securities. Outstanding interest-bearing debt net of $4.3 million of debt issuance costs totaled $414.1 million. Excluding lease liabilities related to ASC 842, our net interest-bearing debt to reported TTM EBITDA was 1.57x. Capital expenditures for the quarter were $68.6 million. For the full year, we are expecting capital expenditures to be in the $315 million to $330 million range and interest expense to come in between $26 million and $28 million. 
 For 2024 -- based on the current operating environment and expected cadence of the new contract logistics program mentioned earlier, for the second quarter of 2024, we are expecting top line revenues between $450 million to $475 million and operating margins in the 9% to 11% range. 
 Finally, Wednesday, our Board of Directors declared Universal's $0.105 per share regular quarterly dividend. This quarter's dividend is payable to shareholders of record at the close of business on June 3, 2024, and is expected to be paid July 1, 2024. 
 With that, Joelle, we're ready to take some questions. 
Operator: [Operator Instructions] Your first question comes from Bruce Chan with Stifel. 
J. Bruce Chan: Congrats. Clearly, the market is liking the results here this morning. Just want to clarify a couple of things on the contract logistics program that you talked about, namely whether this entire program is expected to be completed by next year or if you're just talking about the ramp-up. I'm assuming that this is just kind of a one-off thing. Is that correct? 
Jude Beres: Yes, correct, Bruce. It's a 1 -- this project will be substantially complete this year. It's a 1-year phenomenon with the possibility of additional business in the future. But the economics of this particular business that we described is a 2024 phenomenon. 
J. Bruce Chan: Got it. Okay. So clearly, a very beneficial contract here, which is not to undersell the progress in the rest of the contract logistics business. But maybe towards that end, can you just help us to kind of parse out what portion of the big margin uplift here is coming from mix from this program? And then what's kind of leverage on existing contracts? And ultimately, what a safe, sustainable margin run rate should look like for this business once you kind of sunset the program? 
Jude Beres: Yes. So we're not going to get into the specific customer economics on this one, Bruce, but what we can just basically reiterate is we had $95 million of the business of this contract was in Q1. We think there's going to be around somewhere between $54 million and $75 million of additional revenue in Q2 then $44 million in Q3 and $35 million in Q4. 
 I would just say that after this particular business -- this particular development, our contract is over at the end of this year. The business will continue to operate at its run rate that we've seen over the past 6 or 7 quarters, a little better than 15%. 
J. Bruce Chan: Got it. And then just one final question here. Is there any reason to believe that you'd be able to attract similar opportunities like this one? Or should we be thinking about this as really just a kind of onetime windfall? 
Jude Beres: Well, the one thing, Bruce, is that we have a great balance sheet. We are slightly levered. So we have been able to -- since the founders of this company started this contract with logistics business in the mid-80s, we've been able to grow a business from one location in Flint, Michigan to 71 programs across four countries. So I would just say that Universal is the go to for any type of solution that a customer wants. And we are going to continue to be open for any type of opportunities that are presented to the team. 
Tim Phillips: And I think I would add -- Tim, Bruce, I would add to that. We look at this as a holistic logistics solution. And we'd be willing to court many more of them when we think we have the level of expertise to excel and offer exceptional value. 
J. Bruce Chan: Okay. Yes. I appreciate that color. And then maybe just to follow up on some of your comments, Tim, on SAAR, just maybe looking to get a little bit more color there. If I'm not mistaken, we're still below kind of prepandemic levels here. I think there's some probably good pent-up demand for consumer fleet refreshment. Any color that you can give there as far as what your customers are saying and what they're expecting for the ramp-up? 
Tim Phillips: Yes. What I can say is that the facilities that we are servicing in our contract logistics portfolio are very high-demand type units and there really hasn't been any talk of any falloff aside from the overall SAAR in those facilities. In fact, we've gained a couple of additional programs, which you saw in that ramp up to 71 that we think there's a good chance throughout the rest of this year, we could be on the program to service as a whole overall increase in units. 
J. Bruce Chan: Great. Super helpful. And then just pivoting over to the intermodal side here. I understand the headwind on yield from the assessorial comp, but I guess just on the volume decline here, a little surprised, maybe not at your result, but just overall in the industry to see the pressure on the drayage business, given the strength that we've seen in import volumes and what we've heard anecdotally about transloading activity. So maybe just a little insight from your side about what's happening with the demand side on the intermodal drayage business? 
Tim Phillips: Yes. I think that if you look around the country, different regions have different pockets of flow and volume. We have not seen that pick up. Kind of like I mentioned in the remarks, a lot of our retail customers on the coastal cities, especially on the West Coast, we've seen steady volumes, but not that type of increase that you might read in the news. And some of those increases on the West Coast that were recently published, we have not seen those double-digit margins make it into the inland environment where we service in major cities. 
 So we're a little speculative on how that will go over the next, let's call it, Q2. But we have a full-blown salesforce out there looking to fill the pipeline with opportunities to expand our footprint. Because ultimately, what we need to drive the business, we think we have, as I've mentioned, a good leadership team in place. We have a good terminal network in place. We're investing in the business from a property and where we're going to place ourselves to do business standpoint. We need some wood and the wood chipper to be able to optimize those assets. So I think that's just around the corner. 
 As hard as it's been from an economic side of things, as hard as it's been from a volume flow, I think it's given us the opportunity to take pause, step back and look at these facilities and make sure that we're looking at it the correct way, making sure that we have a secure and direct plan to optimize the assets. And I think when we come out of this, we'll be in a better position to take advantage of that increased volumes. 
J. Bruce Chan: Okay. Perfect. And then maybe just one more from my side, and I'll turn things over. Just looking for an update on the Southern California operation, I know that had been a focus for kind of turnaround. So if you could give us some detail on how that process is going would be great. 
Jude Beres: Yes, Bruce, this is Jude. Yes, overall, the business operated on an adjusted basis at slightly breakeven in March. We did, throughout the quarter, performed better as a lot of the optimization efforts that Tim's been talking about over the past couple of quarters have come to fruition. So although not obviously the result that we're looking for, the business is operating markedly better than it was at the trough of the cycle in the middle quarters of last year. 
Tim Phillips: And Bruce, let me just add a little bit of color to that financial remark and other, not only from an optimization process, but we're extremely confident that we bring a compliant program to Southern California. And what I mean by that, you've seen AB5 back in the news, some of the things that's done at some of the businesses that are trying to operate on that playing field. We truly believe over a period of time, you will see some of these, others that may not be operating in the same manner, filter out of the market. 
 So we positioned ourselves once again with property, new assets, and running things in a clean and compliant fashion. So when we do see the uptick there, we're going to be able to service our customers and offer them the value that they deserve. 
J. Bruce Chan: Okay. Well, that's great. That's all for me. Again, congratulations, and I appreciate all the color. 
Operator: [Operator Instructions] Ladies and gentlemen, there are no further questions at this time. I will now turn the call back over to Tim. 
Tim Phillips: Well, thank you. Appreciate everyone dialing into the Q1 call. We look forward to having you continue the journey with us in Q2, and we'll be happy to report again on our earnings call on July 26, 2024. Thank you. 
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.